Operator: Hello, everyone, and welcome to the presentation of Siltronic Full Year 2024 Results. Please note that this call is being recorded and streamed on Siltronic's website. The call will also be available as an on-demand version later today. Your participation in this call implies your consent with this. At this time, I would like to turn the conference over to Verena Stutze, Head of Investor Relations and Communications of Siltronic AG.
Verena Stutze: Thank you, Shelly. Welcome everybody to our full year 24 results presentation. This call will also be webcast live on siltronic.com a replay of the call will be available on our website. Shortly after the end of the call Our CEO, Michael Heckmeier; and our CFO, Claudia Schmitt, will give you an overview of our financials, the current market developments and our guidance. After the presentation, we will be happy to take your questions. Please note that management's comments during this call will include forward-looking statements that involve risks and uncertainties. For a discussion of risk factors, I encourage you to review the safe harbor statement contained in today's press release and presentation. All documents relating to our full year 2024 reporting are available on our website. I now turn the call over to Michael for his remarks.
Michael Heckmeier: Thank you, Verena, and a warm welcome also from my side. As always, let's begin with the key messages of today's call. Despite the challenges in 2024, we achieved our annual guidance at the upper end. We've demonstrated our ability to navigate effectively through this period of subdued demand. On the market side, our semi based market share remains stable year-over-year. A positive 300 millimeter development compensated our decreasing SD sales due to the planned exit of this business. On the cost and cash side, we have implemented a stringent program to manage this phase effectively. The ramp up of a new fab in Singapore is progressing well and the important prime qualifications for the new fab are expected by mid-2025. And at the end of our presentation, I will walk you through our 2025 guidance. Let's start with a broad overview of our developments in the financial year. Claudia will then give you a detailed breakdown. Year-over-year, sales declined by 7% which was at the upper end of the range. Our profitability remained resilient with an EBITDA margin of 26%. Although we have definitely passed the peak of our investment phase, the still elevated CapEx of €523 million and the payment overhang from last year's CapEx have as anticipated, resulted in a continued negative net cash flow. Consequently, net financial debt increased to €734 million. We have demonstrated that despite this prolonged period of weak demand, we were able to achieve resilient EBITDA margins. This was accomplished by implementing a comprehensive package of measures focused on cost and cash management. We transitioned our production from maximum output to high productivity and efficiency as soon as demand weakened. As a result, our labor costs were adjusted to the lower output through the use of working time accounts, a reduction of the number of temporary employees, implementing a qualified hiring freeze and starting indirect headcount program. Additionally, we intensified our efforts to optimize costs across other areas. On the cash side, we significantly reduced our CapEx payments in 2024 and plan a further reduction in 2025. We are also working on strict and effective working capital management. Another necessary step in this is our proposal to the annual general meeting on May 12 to reduce the dividend to €0.20 per share. This corresponds to a payout ratio of approximately 10% of the consolidated net income attributable to Siltronic’s shareholders. While we are effectively managing costs and cash, we are prepared for growth at the heart of this our customers driving our commitment to excellence. We are proud to do business with all big names in our industry. These relationships, along with our close partnerships with other major players in the semiconductor value chain and R&D spending drive our technological advancements and ensure we stay ahead of the curve as a technology leader. This commitment to innovation has confirmed our position as a successful development partner for the latest design and rural developments. We are ideally positioned with our clear focus on leading edge technologies. Our strategy has proven effective during this prolonged period of soft demand. For leading edge wafers, we have maintained high loading levels in 2024 and expect the same for 2025. In short, our strategy ensures that we are prepared for growth and this growth is further supported by our new leading edge capacities in Singapore. And speaking of our new fab in Singapore, I would like to share some insights on the customer qualification process and its timeline. As communicated, the first test wafers were produced in November 2023. Throughout 2024 we successfully completed multiple low spec qualifications. We are now working on the key prime qualifications. The wafers for these qualifications are now being evaluated our customers and are likely being processed as we speak. This takes several quarters and once completed we expect to receive the major prime qualifications probably by mid-2025. As you know, this will also trigger the planned depreciation of the new fab. And as a reminder regarding a new fab, we will continue to ramp the fab at a reduced pace also in 2025. As the lead times for some critical equipment’s have shortened significantly, the decision for 2026 will be taken later this year based on market demand and visibility. And as a reminder, our target for this fab remains unchanged. We expect the EBITDA margin to be above 50% on the medium term, making a significant contribution to our group margin. Let me now hand over to Claudia for deep dive into our financial performance before I come back with an update on the market developments and the guidance. Claudia, please?
Claudia Schmitt: Thank you, Michael, A warm welcome also from my side. Let's jump directly into our fiscal year 2024 results. As Michael mentioned, 2024 developed largely as expected, still impacted by the persistently weak demand in the wafer industry. Our sales reached €1.4 billion, reflecting a 7% decline year-over-year due to a slight decrease in price mix and wafer area. The U.S. dollar exchange rate had almost no impact on the full year top line. However, Q4 with €361 million came in a bit better than expected, mainly due to a stronger U.S. dollar. Our full year EBITDA was €364 million, down €70 million compared to 2023. This decrease was driven by the reduced top line which also led to a lower fixed cost dilution. And as I mentioned in previous calls, we benefited from favorable FX gains in 2023 which we didn't see in 2024. On the positive side, the cost pressure in some categories which were particularly affected by inflation increases has eased somewhat. This is evident for example in energy and freight cost. Additionally, our further intensified cost reduction measures Michael mentioned some examples before have contributed to a resilient EBITDA margin of 26%. In Q4, the EBITDA margin slightly improved sequentially mainly due to a better FX result. Our full year EBIT amounted to €125 million impacted by the aforementioned EBITDA decline and an increase in depreciation of €36 million year-over-year. On a quarterly comparison, EBIT was almost unchanged. The net interest result 2024 declined to minus €25 million due to a combination of lower interest income from financial investments and higher interest expenses for loans taken to support our investments. The group's tax rate increased to 33% in 2024, mainly due to deferred tax effects which mostly impacted the fourth quarter, but which however had no cash impact. With all these effects, the full year net income decreased to €67 million. As you know, Siltronic is clearly impacted by changes in the U.S. dollar exchange rate. Therefore it's worth taking a closer look into this. On the left side of the slide, you can see that in 2024 Siltronic had a U.S. dollar exposure of more than 80% on the top line, while the majority of our EBITDA costs are euro based, making us quite sensitive to any change exchange rate changes. To provide more detail, let me explain our current U.S. dollar sensitivity. Based on our 2024 exposure and the exchange rate of 1.08, a change of US$1 [ph] would impact our sales on a full year basis by around €11 million and our EBITDA by €8 million before hedging. Our guidance for 2025 assumes unchanged exchange rate conditions compared to 2024. In case of a stronger U.S. dollar, there could be a potential upside to our 2025 guidance. Let's shift our focus to the key developments on our balance sheet. By the end of 2024, total assets have reached a level of around €5 billion, up from €4.5 billion at the end of 2023. This growth was mainly driven by our continuous investments, particularly in our new fab in Singapore, which increased fixed assets by almost €400 million. In September last year we successfully placed a promissory note loan of €370 million, which was paid out in October and enhanced our cash and securities to nearly €670 million. The exceptionally high trade payables at the end of 2023 were significantly reduced to around €280 million by the end of 2024. The level is still elevated and will be reduced further in 2025 with corresponding cash effects. Financial liabilities increased as we've drawn €200 million of our syndicated loan in addition to the aforementioned promissory note loan, bringing our financial debt on the balance sheet to nearly €1.4 billion at the end of 2024. Driven by the expansion of our cash position on the one side and loans on the other, our equity ratio has decreased to 44% but remains at a robust level. CapEx in 2024 totaled €523 million. Although our investment level continued to be elevated, it has significantly decreased compared to the previous year. For 2025, we expect a further reduction targeting a capex range of €350 million to €400 million. The focus will stay unchanged on renting our new fab in Singapore and our steady state CapEx. Let's take a closer look at our debt situation as illustrated in the bridge, Siltronic had net financial debt of €356 million at the end of 2023. We generated a solid operating cash flow, yet it was clearly exceeded by the high CapEx related payments, including a spillover from 2023. These payments have surpassed the additions to fixed assets by almost €150 million. On top, we had a cash outflow of €36 million for the dividend payment. In total, our net financial debt amounted to €734 million at the end of 2024. Looking ahead to this year 2025, as you update your models, I expect that CapEx payments will once again exceed the balance sheet additions, but to a significantly lower extent. We regularly inform you about the composition of our financial debt which you can find here on the left side. As of today, we have drawn €1.38 billion of our total loans, €180 million are still untouched. On the right side you can see the corresponding maturity profile. As previously communicated, we will begin to repay our debt in 2025 starting with a smaller portion of €65 million. Additionally, our balance sheet shows short term prepayments amounting to €57 million which we expect to refund this year. With this I hand back to Michael.
Michael Heckmeier: Thank you, Claudia. Let's turn our attention to the market outlook. The good news is that we are witnessing clear end market growth for the second consecutive year. In 2025 all end markets are expected to be positive resulting in total end market growth of 7%. This growth comprises 5% content growth and 2% unit growth. The main growth driver is servers, fueled by significant content growth from AI. Smartphones are also benefiting from edge AI driving content and supporting replacements. The automotive sector is largely content driven with electric vehicles also showing unit growth. However, even though we are also clearly profiting from AI, the still elevated inventory levels need to be further reduced. So we likely won't see much of this growth reflected in our 2025 order books. Looking at the segments, memory inventories are steadily but slowly declining, logic appears to be closer to normal levels. Unfortunately, in the power segment inventories are further building up based on Q4 data. Let's conclude with our guidance for the financial year 2025. We anticipate sales in the region of 2024. This is due to a negative impact on average selling prices and the expectation that the solid end market growth will mostly not be reflected in our order books. Our sales guidance also considers the discontinuation of production of small diameters wafers effective July 31 this year. Regarding prices, the small impact we observed in 2024 became more pronounced in the second half of 2024. Consequently, the starting point for 2025 is lower and we will likely see a year-over-year impact. However, the prices in LTAs are honored by our customers. From today's perspective, the H1 25 will be below the second half of 2024 by high single digit percentage range as we have some more volume postponements from H1 into later periods partially also in the H2 2025. Our EBITDA margin guidance is in the range of 22% to 27%. The ramp cost for the new fab will be partially offset by savings in energy costs, especially from Singapore and in other areas. Depreciation and amortization are expected to be between €380 million and €440 million, mainly due to the planned start of depreciation of the new Singapore fab in mid-2025. Consequently, EBIT will be significantly lower than in the previous year and negative. As Claudia already mentioned, CapEx will be further reduced and is expected to be in the range of €350 million to €400 million. As a result, the company expects a further improvement in net cash flow, which will however remain significantly negative. With this, we conclude our presentation. Claudia and I are happy to take your questions. Thank you very much for your attention. Shelley, please open the Q&A session.
Operator: Thank you. [Operator Instructions]
Unidentified Analyst: Hi, can you hear me?
Operator: Yes, perfect.
Unidentified Analyst: Okay, morning. Hi. So my first question would be basically on your guidance, you're now kind of guiding for high single digit decline in the first half of your revenue kind of progression. That means that there's definitely a lot of weight on the second half in order to reach your flat guidance. What gives you the confidence in this strong ramp in the second half? That would be interesting to see. And then on the second part would be end demand. So you were showing us the different parts of your expectation and I would say some of them are quite bullish, especially for example something like automotive. What is your assumption for these going forward and where from where do you see some potential downside to your estimates? Thank you.
Michael Heckmeier: Thank you very much for your question. So with regards to guidance and H1, H2 phasing. We indeed did see some of our customers asking for volume postponements out of H1 and some of this have been allocated to H2. So in total this gives the picture that is also, let's say the general sentiment in the industry that H2 should be better than H1. So this is the situation around this H1, H2 phasing and then end demand increase around automotive. What gives us confidence and where are the risks? On one side electromobility is increasing and they show both unit and content growth. We see quite good dynamics in the server market. On the downside, we would rather articulate effects from the macro environment. So how would the drivers like PCs and smartphones really grow unit wise? In the end, I think that's a bit the unknown in this picture. So overall we feel the 7% gross assumption is a pretty balanced one on current knowledge with some risks and some opportunities in it. Thank you.
Unidentified Analyst: Thank you.
Operator: [Operator Instructions]
Harry Blaiklock: Hi there, it's Harry Blaiklock from UBS. Thanks for taking my question. The first was just kind of on your comments around inventory levels, particularly in terms of logic being at healthier levels, it seems a bit different from the picture given by some of your peers. So I was just wondering whether you could give a bit more color on that and what kind of visibility do you have in terms of kind of customer inventories on that front?
Michael Heckmeier: Thank you very much for this question. I think like everybody industry, we're doing two things. We're collecting public available information from institutes, market forecasters, etcetera and combine it with let's say direct insights we have into some of our customers and that kind of gives a mixed and balanced picture around the situation. Your specific question on logic was whether it's very, very normal already. So we see it's close to normal. It's not 100% normalized yet, but it's not elevated to the extent that memory still is. And power for sure is the most elevated in the current situation. So this a bit the situation. So visibility comes both from our direct customer insight, but also aligning and triangulating it with public available and MI data.
Harry Blaiklock: Got it. Thank you Michael. And then I had a second question just around pricing in the spot market and how that's differing from LTA pricing for the 12 inch wafers. And then also it would be useful to know kind of what pricing is embedded into your guidance for this year as well.
Michael Heckmeier: Well, thank you very much. So there's no change in our general situation that around two thirds of our business is in LTA's and as I said on the speech already in this LTA framework, customers honor the pricing. So there's no change around the LTA space. The other third is a bit more tricky these days. We have the major share of our LTA is for sure in 300 millimeters. So what I can say is the smaller the diameter in the wafer, the larger the price pressure is exhibited. We can also say that 200 millimeter is a bit a mixed bag there. There are certain subsegments that are more stable, others also under let's say price discussion. So overall this leads to the price statement. We were saying that we saw some price effect already in 2024, which was more pronounced in the second half. And this will be the basis for further, let's say price discussions and effects in 2025. But two third is in the LTA framework, so that is not affected by this.
Harry Blaiklock: Are you able to kind of give a rough indication as, as to what level of pricing is embedded in the guidance for this year?
Michael Heckmeier: So we currently, I mean the year is still early. We don't give any number or whatever, but we don't see a very changing environment. More the pricing situation that has started in 2024 will continue in 2025.
Harry Blaiklock: Okay, thanks Michael.
Gustav Froberg: Good morning Gustav from Berenberg. Thank you for taking my questions as well. I just have two. The first one is a question on demand from China. Are you seeing the replacement of demand for your wafers, wafers from your Japanese peers, etcetera with some local wafer manufacturers. And in particular my question is centered around 300 millimeter wafers. That's my first question. And the second just on maintenance and growth CapEx for 2025, could you help us break down that guidance that you've given please into those two components? Thank you.
Michael Heckmeier: Thank you, Gustav. So with regards to your first question, do we see demand replacement from China? So market situation 300 millimeter in China is around stable. So we don't see significant changes or let's say market share developments there. And our general China statement is also unchanged that the smaller the diameter, the more advanced. Of course the local China manufacturers are still huge and significant gaps in 300 millimeter, particularly in the high end and leading edge corners. There is no new statement from our side if you compare what we said like six months ago. On the CapEx side, we are currently not in a position to give a detailed breakdown between the further growth and the maintenance CapEx, but both elements are included in our guidance for 2025.
Gustav Froberg: Okay, super. Thank you very much.
Florian Treisch: Hi, good morning, Florian speaking from Kepler Cheuvreux. I have a quick follow up on your on the comments around 2025 top line dynamics and H1 over H2. Can you maybe shed a bit more light on what is your view on the inventory correction? Should it really last for the full year? And I mean to be fair, after the whole industry is misjudging the situation, I mean it sounds pretty brave to be confident on H2 growth acceleration, right? Or what do you can really kind of add on quantifiable targets to it? I mean hopeful thinking is one. But do you have any kind of hard numbers to support that the clients will actually call off these H2 volumes? Thank you.
Michael Heckmeier: Yes, thank you Florian. And I think I can reiterate if you look at the different statements from our peers in general that the sentiment is better for H2 than for H1. I think that's a more general statement for our company in particular. I mean we know those quarterly and H1, H2 phasing effects are typically dominated by individual customer volume shifts. And here we know of course that some of the volumes that have been taken out of H1 are allocated to H2. That gives us certain visibility at let's say some larger customers in related volumes that these are really happening in H2. So combining all this together leads to our guidance that we see H1 below H2 24 and then the total year in the area of last year. And with that you can do some math what we would expect as H2 grows. So I think it's a pretty consistent overall picture.
Florian Treisch: Okay, thank you.
AmeliaBanks: Hi, it's Amelia Banks from BofA securities asking a question on behalf of [Indiscernible]. Just one question regarding your China exposure. I can see that your Greater China exposures decreased in 2024 and I know you mentioned previously that China represents double digit percent of sales. I was just wonder if you could provide a bit more color on that and whether that still remains. Thank you.
Michael Heckmeier: Yes, we only communicate the so called greater China numbers, right. And they are slightly moving but not significantly compared to last year. So I still think our statement is unchanged but what I all said to China is holding also for your question and let's have in mind in China we have both local customers but also our China revenues would comprise business we're doing with multinational players having plants in China. So combining all this, we don't see significant new or additional dynamics in our China view and in our China business.
AmeliaBanks: Thank you.
Robert Sanders: Yes, it's Rob from Deutsche Bank. Rob Sanders. First question would just be about the 150 millimeter, the smaller diameter phase out. Can you just say what contribution of sales that was last year? And presumably it'll be basically zero this year. Just so I understand the year-to-year headwind and if there's any cost upside or EBIT positive contribution from that exit, I'm interested. And then the second question would just be around the covenants. Clearly you mentioned that you don't have a huge amount of debt that's maturing in 2025 and 2026, but your leverage including prepayments is going up towards four times net debt to EBITDA. So what sort of pre covenants should we be thinking about that could lead you to be forced to do an equity raise? Thank you.
Michael Heckmeier: Thank you, Rob. So I take your questions around the small diameters and then hand over to Claudia for the financial part. 150 millimeter business is mid-single digit for us and funny enough it's true both in 2024 and 2025. And of course in the first year we were more at the upper end of that mid-single digit, in the second year more on the lower end of that one. And then we close it by end of July. So you can do I think some easy calculation. What does it mean in terms of top line? The progress of this is very smoothly both internally with all the related cost and HR measures, but also excellently concluded our phasing out with all our customers and look for a very smooth conclusion by end of July. And for the financial piece I hand over to Claudia.
Claudia Schmitt: Hi Rob, good morning. I take your questions regarding the covenants. We haven't disclosed any details around that and we won't do disclosure of any contract details here. So I don't of course know your model which shows obviously a net leverage of 4. Our models definitely don't show such a net leverage and I can say that with our guidance we expect to stay within the financial covenants that we have.
Robert Sanders: Got it. And just to follow up on the smaller diameter stuff, so you said it's phasing out in July. What is the reduction in COGS costs from the phase out in the P&L? Do we see it suddenly reducing or is it not that material?
Claudia Schmitt: Rob, that's just a minor effect. So we only had a mid-single digit share in 2024 declining in 2025. Given that we will shut down this production line and so you won't see a huge effect in our COGS [ph] also.
Robert Sanders: Okay, thank you.
Constantin Hesse: Thank you, Constantin from Jefferies. I might go ahead. Claudia, can you hear me okay?
Michael Heckmeier: Yes, very welcome.
Constantin Hesse: Perfect. Michael, I'll start with you. I've got one for you, one for Claudia. So Michael, the first one to you. I'm a little bit concerned. I'm just wondering if there's anything more fundamental going on. Right. I was looking at the development of the semi market over the last four or five years and the wafer shipments over the last four or five years. And just like it seems really weird that inventories continue to be so high and I'm just wondering if there are competitors that are showing stronger numbers even with regards to China potentially having a higher participation because wafer shipments have now been down 14% in 2023, another 3% in 2024, despite the sandy [ph] market being down 10% in 2023 and up, as we said, 6% in terms of volumes in 2024. And then you expect another 7% growth this year. So I'm wondering why aren't we seeing a faster destocking happening here given the low level of utilization that you stum coach in Esso are all operating in? Just wondering if there's something more fundamental going on here. That's the first question.
Michael Heckmeier: Yes, thank you, Constantin. This was a long and almost comprehensive question. So I tried to give you a few key states segments around this. So I think fundamentally the overstocking during the COVID years in 2020, 2021 was unprecedented in the industry. There was always overstocking. But the extent and our experienced colleagues telling me that the extent of that was quite unique in the whole semiconductor industry. And I think that's one thing that was really fundamental different. It was the pandemic which, you know, something like shaking up and scrambling up and down the whole global supply chains I think we never experienced before. Second difference we see compared to earlier cycles is very different segment dynamics. So in previous cycles, typically at a certain point in time, everything was oversupplied or became short almost at the same point in time. So now we see, as I alluded already a bit quite different market dynamics in memory, logic and power. Now power still creeping up and again up, which of course is a concern for this segment while memory going in the right direction, but very slowly and steadily and logic almost being okay already. I think those different segment dynamics is indeed they are quite pronounced these days. Is there other fundamental change? I mean, for us, always the market share is a very clear indication. So of course there are different reports from peers. As you know, some of them doing also different businesses in addition to silicon wafers. You always have to be a bit careful with absolute growth rates when somebody's also doing a bit sick or gone or whatever. So from that perspective, we don't see fundamentals being changing beside what happened with the supply chains a couple of years ago. That's maybe how I would. So now I go.
Constantin Hesse: So if we think about market share, then in the end, because obviously the recent presentations don't really have that data anymore and you used to have the market share data, your presentations, but looking at the market share, you're still around 13%, 14% level then.
Michael Heckmeier: Yes, really stable is the statement. And that's correct. Yes.
Constantin Hesse: Okay, then maybe it's a mix between I guess you and Claudia. So look, looking at 2026, I'm wondering because we have some long term agreements, I think we talked about it in the last call that some long term agreements are expected to expire at the end of 2020. You obviously will have to probably negotiate on prices here. So 2026 seems to be quite at risk at the moment if we don't see a demand improvement on the volume side. So if we look at, I'm just trying to understand, right, what kind of negotiation dynamics could happen in these long term agreements. Is there going to be significant pricing pressure that we could be talking about here or is there still a discussion where you can say, look, I've just invested €2 billion into this new fab. We still need some form of agreement so that I'm able to generate X level of margin. I'm just trying to understand what kind of bargaining power you still have to hold on to some pricing and the negotiation of your long-term agreements. Because I'm just trying to get a feeling for how I should think about cash in 2026 if we see no improvement again. And what kind of a prepayment refund are we expecting in 2026?
Michael Heckmeier: Yes, thank you Constantin. And with regards to pricing and LTA's etcetera. Maybe I want to separate two things. The one thing is what we know today and that is of course two thirds of the business is in LTA's and those prices are holding respect with an unoccupied customers. So now the speculation of 2016 is of course a very different one and a very difficult one at the same time. I think the honest answer to your question is we really don't know in great detail and it will depend on the demand dynamics. After now 2023, 2024, 2025, I think the community is eager and almost convinced that 2026 will be and should be a better year. And that's a bit the assumption everybody is working with. Under such a dynamic then of course we would have a different, let's say the wafer industry would have different pricing power than in a situation of continued soft demand. But given the fact that we talk about three years in a row now, 2023, 2024 and 2025, I think there is some consent almost that at a certain point in time the end market growth of 6% last year, now slightly ticking up to 7% this year eventually then should make its way through supply chains and inventories. And yes, I think that's what I want to say. Thank you.
Claudia Schmitt: And Michael, just one remark from my side regarding prepayments. We do not do any statements regarding 2026, but I want to reiterate that our prepayments that we have right now on the balance sheet are reaching out until 2030. So there's an allocation over several years so that you can assume in your, in your models too.
Constantin Hesse: Okay, that makes sense. And Michael, just maybe just a quick one. Do you think that there is still any. Because look at the moment it's just like with power, you know, inventories are going up and you know, if we don't see a proper recovery in end markets, it doesn't look like we're going to be seeing an incredible year in 2026 again, at least from the moment. So my what I want to understand is there any bargaining power left for Siltronic, for Sumco, for the fact that you have invested so much money into this new capacity when it comes to the negotiation of the new long-term agreements at the end of 2025 with regards to pricing or could we be running into a substantial risk situation where the chip manufacturers simply pressure you guys?
Michael Heckmeier: Yes, I'm not sure whether I can tell a lot about really bargaining power in 2026. But what we see and you reference to also to our investment in Singapore, we ramping up factory that on the one side is the latest, greatest and really focusing on the upper end and leading edge segment of 300 millimeter. And here already we said we see good loading in 2024 which will continue in 2025. From that perspective, we feel that the investment is going into the right spot, that our strategy is working and that there will be, let's say, significant customer interest in those particular products. Whether that holds true across all diameters and across all segments and particularly in power I understand your concerns and from the inventory developments we cannot take that off the table completely today but with regards to our strategic focus and key investments, we feel pretty well set.
Constantin Hesse: Fantastic. Thanks so much.
Unidentified Analyst: Hi, good morning, this is Martin [ph] from BNP in Frankfurt. Just two follow ups, please. The first one is on the financing needs. So on the back of the envelope I think you will probably burn around €250 million, €300 million in cash this year and probably the same will be the case next year. There's no change in conditions. With around €7 million in cash, would you at this point exclude a capital increase at least for this year? I think you have given these kind of comments last year, but just trying to see if you could confirm this. And the second question is really on CapEx. I mean you flagged that actual payments will exceed invest level this year. I'm just trying to see if you can quantify that portion of capex that is still to be paid and recognized. And this also includes the capitalization of the ramp cost for CapEx. Thank you.
Claudia Schmitt: Hi Martin, good morning. Yes, I can confirm that at the moment we can exclude a capital increase that's not on our agenda for this year. And regarding the CapEx related payments. So the CapEx cash flows. Last year we had an additional, I think €150 million on top on our CapEx. So this year we will also have a spillover from last year, but as I said, not to the extent of last year's spillover. So at a lower rate. But of course we can't give here too much detail.
Unidentified Analyst: Okay…
Claudia Schmitt: Just to remind you, we have payables of €280 million on the balance sheet. We still have an elevated CapEx level. We will take some of that also into next year, 2026. So there will be a reduction of our trade payables but not to the extent of last year.
Unidentified Analyst: Right, that makes sense. And maybe if I can squeeze one more in on the tax payments. I mean given that EBIT will be negative this year, there's still certain cash taxes that you have to pay. If you could quantify these.
Claudia Schmitt: 2025 you mean or.
Unidentified Analyst: Yes, yes.
Claudia Schmitt: Yes, we didn't disclose any hiding disclosed any tax details for 2025. But you should be aware that tax is calculated and paid on a legal entity base. So depending on our site mix and we have some companies in our group which are quite profitable so there might be effective tax expense this year, although the group EBIT is probably negative.
Unidentified Analyst: Okay, thank you.
Jürgen Wagner: Yes. Jürgen Wagner from Stifel. Good morning. Just one follow up on wafer volume push outs. How is the level of pushouts trending at the moment when compared to Q4 last year? Thank you.
Michael Heckmeier: Yes, thank you, Jürgen. I think it's very difficult to say it's increasing or decreasing. What we experience here is a kind of continuous situation that from time to time individual customers approach us and we have those discussions around volume push outs. The thing is, it's ongoing, as we indicated, already hitting H1 in particular, and some of those volumes are allocated to H2. So that's the underlying background for H1, H2 phasing. But also some are still asking for further push outs. That's also true. So it's ongoing discussions. We see also in some, let's say, segments, applications, this is decreasing indeed. Everything around Leading Edge is highly asked and our loading is pretty strong there.
Jürgen Wagner: Okay. Okay, thank you.
Operator: And there are no additional questions on the audio side. So I will turn it now back to Verena for any closing remarks.
Verena Stutze: Thank you, Shelly. This concludes our Q&A session. Thank you for joining us today. We will release our preliminary Q1 25 figures on the 30th of April. On this slide you can see also our next IR event. Thank you, and let's talk again soon.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.